Operator: Good evening, ladies and gentlemen. I am Monica Girardi, Head of Group Investor Relations. Welcome to the full year 2019 results presentation, which will be hosted by our CEO, Francesco Starace; and CFO, Alberto de Paoli. Before the presentation of the full year, Francesco will open with three slides dedicated to the situation of global emergency we are elaborating on how the Group acts and position. He will then sum up 2019 milestones. And after that, Alberto will walk you through the full year operational and financial performance. Following the presentation, we will have the usual Q&A session. In line with the exceptional amount of questions we have received about the impact of Coronavirus and aiming at being efficient in the way we answer them we have to connected to some questions only via investor.relations@enel.com. Before we start, let me remind you that the media is listening to both the presentation and the Q&A session. Thank you, and now let me hand over to Francesco.
Francesco Starace: Thank you, Monica. Good evening to everybody. So as Monica said, before the fiscal year 2019 presentation, I am going to spend a few words around exceptional situation we are currently all living. The next three slides are dedicated to how the Group has reacted to the Coronavirus crisis and how it will continue to manage the evolution of the crisis as in transit will unfold in the next future. I would like to start with what we think is the most important factor for success our people. As of today, 35,300 Enel employees are working remotely. This amounts to about 52% of our global workforce. Enel introduced smart working practices in June 2016, we have at that time formed a small pilot test which soon demonstrated that people can work remotely with unchanged level of efficiency and efficacy. We were early birds on smart working and these days we demonstrate how our view is now very essential not only to the project -- to protect the health of our employees but also to ensure sustain continuity of our ongoing business. To better understand the benefit of this long lasting practice, let me share with you a few data. During a normal working day on average 2,600 people used to be on remote working globally. By the end of this week every single day our IT system is connecting remotely 13 times the same people, 13 times people, the people -- the times the people it was used connect just a few years -- just a few weeks ago. We are currently managing a number of simultaneous virtual private network connect that is saving times the number we used to have before the outbreak without suffering any disruption. At the time we speak, thanks to the investment we took in digitalization, we know that half of our employees can work from home, minimizing the number of people present in our premises, reducing physical interaction and preventing the virus to spread. Virtual meeting platforms also show increasing utilization and good performance of the most common tool maintaining the benefit of working teams. Today, we can say that the first week of this huge smart working crowd all across our geographies goes from Russia to Chile and is working very, very courageously. So if people can work from various locations, our asset will continue to perform, thanks to our investment in digitalization. I am now moving to the following slide, slide number three. The Group digitalization journey started in 2015. That changed forever the way the Group manages its asset base, interacts with its customer in the way in which we all work. Most of the Group asset base is digitalized. 100% of our generation assets are remotely monitored and 100% of the renewable fleet is remotely managed. IoT sensors and machine learning algorithms providing information that allow to remotely predict technical failures and to reschedule plan, maintenance activity in emergency situation limiting the risk of our assets. Thanks to the 245 million smart meters and 1000s of distribution network components that allow remote checks, we control in the real time our asset performance, our asset reducing a significantly intervention of people on field. Customer operation and interaction channels are fully digital. Apps, mobile, web interaction, virtual assistance and chatbox are used to provide information, activating contracts, modify existing ones, and execute payments. Our digital native business analytics offers services that are 100% manageable and deploy -- and deployable remotely. Since May last year, 100% of our application and all our data have been moved to the cloud. We don’t operate physical servers anymore. The move provides full accessibility from everywhere, scalability and automated operations. Our TSC infrastructure is cloud-based. It allows remote configuration and management of field devices remotely. The infrastructure of the contact center is also cloud based. It redirects smoothly the workload in case of inability of a third-party to other call centers. You can appreciate how an early move in digitalization represents now a key enabler of business continuity, managing, protecting operators and enabling continuous functioning at all level in our businesses. So if our people, our assets are ready to face the crisis, our business mix as showed in the next slide minimizes risk at micro and macro level. Thanks to the resiliency of our business, we do not see for the time being any delay in our strategic deployment in the medium- and long-term. So far we have no signs of impact in our short-term targets. Starting from the macro risks, let me remind you that 80% of our business is within this planned period, contracted or fully regulated, hence protecting earnings from macroeconomic cycles and commodities volatility. The Group exposures to currency are well mitigated. As shown in our latest Capital Market Day presentation, 100% simultaneous devaluation in local currencies translates into a maximum 2% impact on earnings. Moving to business risks, margins are protected and the 2020 production is sold forward. We are not experiencing disruption in the supply chain of renewables equipment, well, minor delays -- we are experiencing minor delays in the installation of smart meter. Our efficiency program is well addressed, potentially running faster, thanks to massive remote working and constrained travels. O&M activities on our asset base continue with no severe discontinuities. Concluding with financial risks, the credit profile of the Group is very strong, well below the one of our peers set to become even stronger in the future as we expect the Group net debt-to-EBITDA ratio to decline from 2.3 at the end of 2022, compared to the 22.5 at the end of 2019. The level of yearly refinancing over the next three years is only around 7%, 2.7 times less than in the past three years when the refinance -- when we refinanced half of our gross debt. In particular looking at 2020, with the issuance of the last sustainable development mix during the last quarter of 2019, we pre-financed a good portion of debt that expires over the next months. Additionally, we have ample liquidity available to cover potentially 1.9 times the level of debt expiring in the course of the 2022 business plan. Let me now move to full year 2019 results. In 2019, the Group delivered strong financial results. EBITDA grew by 11% year-on-year, came in at €17.9 billion, posing better than our full year guidance. This outstanding performance was led by networks benefiting from the ongoing digitalization process and the -- and by the global generation fleet and retail businesses. Group net ordinary income was up by 17%, in line with our expectation, reaching €4.8 billion. This will allow us to propose at the next as when we a dividend per share of around €0.33 per share based on a 70% payout ratio on net ordinary income. It is worth noting that the 2019 results do not yet incorporate the positive impact from our investment in renewable capacity development as new additions have been skewed towards the last part of this year and we will see -- as we will see throughout the presentation. 2019 has been also a pivotal year in the context of our decarbonization strategy, upon which our growth is predicated, as discussed during the Capital Market Day in November last year. In particular, in 2019, we have built an all-time record renewables capacity of in excess of 3,000 megawatts, while at the same time, we have accelerated our exit from coal, planning coal plants early closures. As a result and this is the first time in the history of the Group, production from renewables has overtaken that of thermal generation. To further support and accelerate this path, in 2019 we have created a new business line called Global Power Generation, which integrates Enel Green Power with thermal generation. Grids are key enablers of the energy transition. We continue to invest into digitalizing our grids by accelerating the deployment of second-generation devices. In 2019, we deployed almost 6 million second-generation smart meters, which reached the total of 13.1 million at the end of the period, almost twice the number at the end of 2019, representing 30% of the total smart meters installed. We added 1.2 million customers to our fee market base. This reached a number of 17.2 million fee power customers and 70 million clients overall, confirming our strong position, particularly in developed countries, where liberalization of markets is underway. 2019 has proved to be a milestone year for rating improvement, both on the credit and on the sustainability ratings side. During the course of the year, the Enel Group has been upgraded 1 notch to A- by Fitch. Moody’s has improved the credit outlook to positive. MSCI rated Enel AAA, while CDP single A. Results achieved testify to the solidity and the sustainability of the business model that is capable to deliver value to all stakeholders and also remarkable financial results. Let me go now to slide number seven on our sustainable CapEx plan. Overall CapEx in 2019 was almost €10 billion. This is 17% higher than last year. More than 50% of this was devoted to decarbonize our generation fleet with Enel Green Power, investing more than €4.3 billion in renewable assets. Almost 40% has been invested in infrastructure and networks to the ongoing effort to digitalize and improve the resiliency of our grids. The remaining 10% was allocated to Enel X and to retail activities. Development CapEx represent 60% of our total investment, increasing 24% year-on-year and reaching €5.9 billion, out of which €2.3 billion was allocated to Enel Green Power, mainly in North America, Latin America and Iberia, at one-third to infrastructure and network to deploy new smart meters. More than 90% of the 2019 overall CapEx contributed to taking urgent action against climate change, which is related to Sustainable Development Goal 13 through SDG 7, 9 and 11. Looking at the 2020, ‘22 period, more than 60% of asset development CapEx is already addressed, supporting a visible growth path. If we focus on the decarbonization strategy, we move to global power generation on slide number eight. As outlined in the Capital Market Day in November, we have created a single business line, this maximizes the value associated with our combined generation portfolio and accelerate and facilitate the decarbonization trajectory. At the end of 2019, the total renewable capacity of the Group, including the one that we managed increased by 6%. While thermal generation capacity was reduced by 10%, supporting a 20% reduction in CO2 emissions. During the year, thermal generation production declined by almost 20%, while production from renewables slightly increased, despite the reduction in the hydro portfolio, reaching 110 terawatt hours. For the first time in Enel’s history, the production from renewable sources has overtaken the production coming from thermal generation. CO2 specific emissions reached 296 grams per kilowatt hour in 2019. We are well on track to reach the science based target of CO2 specific emissions by 2030, which is 125 grams per kilowatt hour. This aiming to be fully recognized by 2050. Now if we focus on growth of renewable energy, we are on slide number nine. In 2019, as we said, we set a new record on renewable growth by building more than 3,000 megawatts in new capacity in the world. Out of this amount, 2,400 have been added in the last quarter of the year alone and as such it has not yet impacted the Group ‘s financials during the 2019 year. From 2020 at regime this additional capacity will generate €250 million of EBITDA. During the period, we have been quite active on portfolio management. We sold about 600 megawatts of capacity and we acquired 650 megawatts from our joint venture in North America, aiming at increasing our consolidated presence in a key market like the U.S. as renewable installed capacities reached almost 46,000 megawatts, which represents, as we said, more than 50% of our installed base. Looking at the future, it is worth to highlight that in 2020, we expect to accelerate further our renewable growth, aiming at building more than 4,000 megawatts of new capacity, which as I will show you in the next slide, has already been completely addressed. In fact, if we go to slide number 10, you can appreciate that 8,800 megawatts of our 2020, 2022 target of additional capacity has already been addressed. That leads out a 5,300-megawatt residual target to be covered by our late-stage pipeline that comprises of almost 36,000 megawatts, out of which 55% have a potential commercial operation date between ‘20 and 2022. The residual target is therefore covered 4 times by our 2022 pipeline or almost 7 times, including entirely our late-stage pipeline. This provides a significantly high confidence that we will reach our target of 14.1 gigawatts at the end of the plan. And on the next slide, so we are now looking at what happens to coal. The coal exit process has accelerated in the course of 2019. We are on slide number 11. The phase-out of our coal generation will allow us to take advantage of the opportunities that come from the technology development that have been making renewables increasingly competitive from a point of view of costs. In addition, the coal phase-out will minimize the risks associated with the foreseeable acceleration of regulatory constraints, aiming at mitigating climate change. In the course of 2019, we have taken important steps in this direction, including the closure of plants as Bastardo in Italy, the sale of Reftinskaya in Russia, the end of operation of Group 1 and 2 of Alcudia in Spain, the disconnection and termination of the plant Tarapaca in Chile, with agreement reached within -- with the Chilean authorities in 2019 for the progressive closure of the coal-fired plants in the country. In addition, in September 2019, the Board of Directors of Enel have ruled in favor of the interruption of production associated with 2.5-gigawatts coal-fired plants in the Iberian Peninsula, Litoral and As Pontes, for which we have submitted a formal application to close the tranche covered. As a result, in 2019, the coal capacity saw a decrease by 4,100 megawatts, reaching 11,700 megawatts, beating the year end target of 12,200-megawatt coal capacity presented during our Capital Market Day, highlighting the accelerating effort at Group level. Production from coal represents 16% of the total production. During 2019, it reduced to 37.6 terawatt hour, which is 40% less than what we had in 2018. Finally, in 2019, revenues from coal were 3.5% total, while EBITDA from coal accounted from -- accounted for about 2% of the total EBITDA of the Group. If we move to slide number 12, we see the development on retail. In Italy, the elimination of the regulated tariff is now expected to phase in starting in 2021 for small and medium companies, and 2022 for the big bulk of retail customers. In 2019, our free market customer base grew by 1.2 million, of which more than 600,000 in Italy alone, partially offsetting the reduction of customers on the regulated tariff. Regulated customers declined by 2.5 million, mainly in Spain and Italy, with the Latin American market slightly increasing to 26.7 million clients. As highlighted during the Capital Market Day back in November, we expect -- we experienced the shift towards free market customers to improve the profitability of our retail business. In the next slide, we summarize the main operating indicators of Enel’s infrastructure and networks. In terms of electricity distributed, 2019 saw an increase of roughly 20 terawatt hours or 4%, entirely attributable to Brazil, thanks to the Enel Distribuição São Paulo. In terms of quality of service, in 2019, we have recorded an improvement both in SAIFI and SAIDI of around 6%. In our 2022 plan presentation, we highlighted the efforts we have been putting into the digitalization of our grids, accelerating the deployment of second-generation devices. In this respect, 2019 saw us continuing investing in second-generation smart meters, which almost doubled versus the previous year, reaching the 13.1 million figure. Smart meters 2.0 reached approximately 30% of the total compared to a share of roughly 15% of 2018. On Enel X, we have to look at slide number 14, and as you know, through Enel X, we aim at capturing the opportunities coming from new value-added services such as demand response and battery storage, among others. The capacity linked to demand response increased by 2% to 6.3 gigawatts, while in 2019, we have been awarded a total capacity of 5,300 megawatts, which is now 84% of the current capacity. Battery storage, which will be more and more essential to the effective deployment of renewables had an impressive growth during the year, with a 57% increase, reaching a capacity of 110 megawatts. In terms of development of the infrastructure that will be needed in order to support electric mobility, the number of charging points installed grew by 63% to 80,000. Public lighting points have decreased slightly. This is a result of the regulatory mechanisms that affect certain municipalities in Italy. In 2019, we have been awarded 40,000 public lightings in Italy, which will be activated in 2020 and around 100,000 more whose administrative procedure is now underway. Finally, on the rollout of the fiber optic networks, we have reached 7.9 million households passed, with a 55% increase versus previous year. Let me conclude with some consideration on shareholder remunerations in Chart #15. The delivery on our operating and financial targets enabled us to propose shareholder remuneration in line with guidance of 2019. The earnings per share is 18% higher than the previous year. This will enable us to propose to the general assembly of our shareholders at 2019 EPS of €0.328 per share, with a 17% increase versus last year based on a 70% payout ratio on net ordinary income. This is higher than the minimum guaranteed EPS of €0.32 per share. So we meet the minimum guaranteed floor that we have put forward in front of our shareholders. The robustness of our sustainable business model and the operating performance standards we have consolidated allow us not to suffer from business disruption even in the situation we are living now. The double-digit growth part of the Group is set to continue. In 2020, EPS and EPS targets underpin growth in excess of 12%. I would remind you that until ‘22, shareholders will receive the higher amount between 70% payout on earnings and a minimum guarantee that has been set at €0.35 per share for the year 2020. I will now hand over to Alberto, who will go with you through the details of the operating and financial performance for 2019. Alberto, it’s yours now.
Alberto de Paoli: Thank you, Francesco. Good evening to everybody. So now I am on page 17 with a recap of the financial results. So for the EBITDA, up 11% to €17.9 billion, ordinary Group net income up 17% to €4.8 billion, FFO €11.6 billion, up 5% and Group net debt at 42.2. There is an increase of 10% versus 2018, related mainly on the change in IFRS accounting and the FX impact and higher investments that we will see after the details on that. Moving to page 18, in this slide, you can see a performance summary according to the trend we presented in the last Capital Market Day. EBITDA is up by €1.7 billion, with an 11% growth, as I have said. And the main drivers of this evolution are so the €600 million associated with the decarbonization trend, which is captured by our global generation fleet, enablers and platforms, mainly networks and Enel X, accounted for almost €500 million, and finally, retail recorded a €200 million growth, thanks to higher margins and volumes in Iberia and Latin America, and thanks mainly to efficiencies in Italy. I will detail the key drivers for each business in the next slide. On page 19, I will leave this image on our efficiency program. Over the period, nominal operating expenses decreased to €8.5 billion and this was driven by clear efficiencies of more than €300 million, 50% of these efficiencies have been recorded in infrastructure and networks, with the net direct fleet between retail and conventional generation. We do consider the target of €1.2 billion of cumulative efficiency in the 2020, ‘22 period, the target at which would be supported by a huge investment program in digitalization impacting across our business. Moving now on page 20, Enel Green Power and renewable capacity, renewable development, volume and EBITDA came in at €4.6 billion, a 2% increase versus 2018. As I have said, this is not reflecting the contribution from the capacity that we built in the last quarter of 2019 that totaled around 2.4 gigawatts of new capacity. The performance of this increase was mainly impacted by the following dynamics. We had a negative impact of around €260 million due to lower production volumes in Spain, Italy and Latin America, triggered mainly by lower hydro production. Then we had a negative impact of a reduced level of incentives mainly for reducing time consumed in the United States and Italy. On the positive side, we had an impact of €350 million positive for higher prices. This was mainly in Italy and Latin America. We had the early combination of PPA in Chile, that we have already commented during the year, for €80 million and the EBITDA contribution for new capacity installed in the year was only €8 million, as I have said before, because we had a couple of majorities hold at the end of this year, an average impact of the capacity in 2020 is in the range of €250 million. Moving to page 21, on the conventional generation and global trading in Enel. The EBITDA increased 45% and came in at €1.6 billion. This is just €500 million before that increase and is the result of higher volumes out of -- on our nuclear fleet in Spain, both in €80 million and higher prices of around €370 million, mainly through Iberia and in relation with the new capacity in Latin America. Thanks to the hedging strategy and dollar indication of our fleet. We have efficiencies of around €80 million and ancillary services were positive, with an impact of €60 million. Then we have also for generation the impact of the early termination of the Chile PPA because of the 150 effect aiming to 50% of renewables and 50% on generation. And then we had other negative regulatory effects, notably around €100 million. The vast majority was seen for the regulation of ancillary staff in Argentina. Now I am on page 22, on to the slide of our infrastructure and networks line and ordinary EBITDA came in at €8.2 billion, with an €800 million increase versus the previous year or 11%. Of this €800 million, €300 million, I believe is related to the outstanding performance of Enel São Paulo, out of which €90 million for efficiencies, €120 million for regulatory improvements and €100 million with perimeter impacts. The remaining €500 million of EBITDA are split between positive regulatory changes, mainly in Brazil and in Argentina, because of the commission of the fuel regulatory and this regulatory change is positive at around €320 million of positive, €260 million of increase for investments we made during the year, so it’s a rapid increase, €70 million on efficiencies and then we have negative impact because of CPI and the cost of FX impacts. CPI was around €100 million, FX impact for around €90 million. Moving to page 23 on retail, EBITDA retail stood at €3.3 billion or with a 7% increase versus last year. And the main part of this increase is related to the free market and in particular, the free market EBITDA grew around €150 million at 6% and this is a result of an increase in the unitary margin, both in Spain and in Italy and increases in the range of 12%, 15% versus the previous year. Regulated market EBITDA increased by around €50 million or 10% and this is mainly because of the positive contribution of Latin America that is roughly €90 million and the negative impact from Italy, mainly Italy, where the penetration from the regulated business to the generalized business is impacting with a big impact for around €40 million. Then we had just about €100 million of efficiencies that increased the level of results. Moving to page 24, now so we can move to the financial management section. As I have said, and as you can see in the table, ordinary EBITDA -- ordinary Group income, sorry, came in at €4.8 billion, €700 million higher than last year of 70%. And this is mainly thanks to the increase in ordinary EBITDA and a lower tax rate, which more than offset the increase in D&A, other financial expenses, minorities and the decrease of the results from equity investments. Now look -- now we go and look to the single item, D&A increased by around €445 million, 70% of the increase is mainly related to the inclusion of new accounting principles and the consolidation of Enel São Paulo for the related quarter of the consolidation reporting at the end of this year. The remaining portion is related to the target level of investment that we have been increasing. The increase in the amount of -- talking about financial expenses, the increase in financial expenses is solely due to other financial expenses. It means that the cost of debt in the period declined by around 40 basis points. And other financial expenses grew by around €50 million, following the consolidation of Enel São Paulo and the higher actualization of termination benefits and pension funds in Nigeria and Mozambique. The result from equity investments stood at minus €90 million, mainly due to the North American joint venture unwinding. Such the overall result of taxes set to increase by around €96 million. This is mainly due to roughly €300 million increase for higher earnings before taxes, but this number has been partially of spend by a positive impact related to fiscal incentives on intellectual property gained in Italy. The recommendation of the ancillary staff in Argentina, Chile and Brazil and also because in 2018 we booked some positive one-off items, such as the recognition of the factors in processing associated with their decarbonization in Brazil and in Italy. Net of this loss, this normalized tax rate stands at 50.1% better than the previous year. And the final, minorities, minorities increased by 18%. Thanks to the performance recorded in Latin America. Moving now to the cash flow on page 25. As you can see, FFO stands at €11.6 billion, up €100 million or 5% versus last year driven, by ordinary EBITDA growth as related to during the year. In retail, we had a higher EBITDA after provisions for around €1.9 billion or plus 13%. We have at Enel the natural networking capital confirming our efforts in stabilizing and optimizing it. We have higher taxes paid, but this is mainly due to advanced estimated tax payment dynamics. Free cash flow stood at €1.7 billion, concerning the capacity of often used to cover debt investment growth with the operating cash generation, and for sure, we had €10 billion of investment versus the 8.5% we had last year. Moving now to page 26, on debt, our net debt stood at €45.2 million, closing lower than our expectation immediately in our plan at Capital Market Day that was €45.9 million. This thanks to a better FX scenario and better outcomes for the expected active portfolio management performed in the last part of the year. Changes are driven by positive free cash flow of 1.7%, as commented and dividend sale for €4 billion, up €500 million or 15% versus last year. Then we had a positive contribution of active portfolio management deriving from this, closed in the last quarter at the disposal of renewable assets in the U.S. and the Reftinskaya plant, the coal plant in Russia that we have sold. Then we had a €1.1 billion negative effect impact from revaluation of local currencies against the euro. I would remind you, that this final impact on debt is a mere accounting impact. They almost are entirely neutralized by the reimbursement. Thanks to our hedging derivatives. And the level of net debt as the FX rate, thanks to hedge amounting to €44.4 [Audio Gap]. …the company to capture the opportunities that arise from the transition, from the energy transition, it is fostering value creation to all of our stakeholders. Financial results are more predictable and more clear to see. We have sharply and preemptively acted to limit headwinds arising from the current Coronavirus situation. We accommodate more than half of our workforce on remote working without disruptions on operations. Additionally, investments in digitalization offer now important hedges against sudden crisis, allowing business continuity. Thanks to an integrated procedure and diversified business model, there is no evidence so far of significant operating economic or financial impact in the short- and medium-term. We can leverage our ample liquidity available and a very strong balance sheet to face any volatile scenario, supporting the deployment of the CapEx plans and the commitments on dividend. Thank you for your attention. Let’s now open to the Q&A sessions that Monica will manage. Thank you.
A - Monica Girardi: Okay. Perfect. So as anticipating -- as anticipated to run the call as efficiently as possible, I will be the analyst voice at this time. We have received so far questions from Akros, Bank of America Merrill Lynch, Barclays, Citi Group, Credit side -- the Credit Suisse, Deutsche Bank, Equita, Exane, Goldman Sachs, Intermonte, Kepler Cheuvreux, Mediobanca, Morningstar, Natixis, SocGen, S&P and UBS. So I will start with the first one, which I think is for our CEO and is the following. The virus outbreak will likely trigger and especially in many countries, if not globally, from your market of reference, which are your expectations on electricity demand, power prices and commodities?
Francesco Starace: Okay. So let’s, one is the expectation -- one is what we observe. We observed a drop in demand as the investment cycle slows down. We have observed that in Italy. We are going probably to see that in Spain in maybe another 10 days. The magnitude will be strictly correlated to the length and depth of the shutdown, so how long this shutdown will continue. We have seen a surge in residential demand as, of course, as people are forced to stay at home. So the net result is a drop in industry in general in the electricity demand, which as you can appreciate, has different values to us. The margin we make on industrial customers are not similar to the margins we make only to residential customers. It’s very early to say if one predates to the other. Our hands is that for the time being we are paradoxically almost better off the way they -- the way we are today than before, but this is clearly a very transient situation. Power prices, we think that the way the city markets work, the impact is on prices to go down, because of slower demand and also because of the weakness on gas prices, where gas is at the margin, the market that we are referring to is Italy and Spain. Any reduction in power demand would lead to a reduction in gas consumption and that will -- we can further get. I should add that this is clearly something that we have been hedging quite early during the previous year. On commodities, as we say, gas -- we see gas in Europe weakening along the global gas price assumptions due to the increasing oversupply. We think this is going to continue like that and we have become more bearish not just for 2020, but also for the next two years then. On CO2, we anticipated some weakness because the ETF was showing that at the beginning of the year. This follows generally the weakness on commodities. So we see weakness on the CO2, which hovers around €20, which is quite a low level compared to the previous year. Brent has been very low, as you all know, all major investment banks are revising their forecasts. We have not really a big say on Brent. In Europe gas is becoming increasingly decoupled from oil prices, so we don’t look this -- we don’t see this a meaningful commodity for our business anymore in many ways.
Monica Girardi: Okay. I think we can move to the second one, which is again for you, Francesco. What will be the impact on volumes sold and on generation retail margin? I assume it is related with the Coronavirus situation?
Francesco Starace: Okay. Maybe you should all remember that we always sell forward the year in which we enter. So the 2020 here volumes is sold and margins unlocked, and as you know, this is never 100%. There’s always a small part of unhedged generation, which has to do with uncertainties of hydro regimes that it’s really blocking. In looking further, we have sold 21 for 60% in Iberia, almost fully in Latin America and 20% in Italy. So if you look -- if you take Latin America out, which is covered mostly by PPAs, the volumes that we were discussing in Italy and Spain are locked in, in prices at pre-crisis level. So if we look at this and the integrated margin approach and the resiliency on the margins, we can -- on the customer base, we can say that, basically during 2020 we see very little, if any, impact on the lack of demand and the weakness of prices during the next 12 months ---- 12 months, nine months at this point.
Monica Girardi: Okay. The third one is for our CFO. Can you provide a sensitivity of analysis regarding economic downturn mainly in Italy and in Spain?
Alberto de Paoli: Well, so by far, we have no evidence of material impact of the EBITDA level for Italy and Spain. We see there are a lot of moving parts in the business that might eventually balance out. This is I think the benefit of managing an integrated business, because -- so the business is moving in very different parts. So, for an example for all, that we have a lot of examples. So we are seeing a reduction in the demand of the business customers. But on the other side, we are looking at an increase in the demand of the retail customers and because we are present in the two segments, it’s clear that these two things could balance because the margin we are doing on a retail -- on the current retail side of the customer, on the B2C side is almost 10 times, 15 times higher than the recent one and this is present in all the parts of the business. So, I think that, on the other side nearly 80% of share of contracted and regulated activities, the two things and this is giving us signals that we have a very negligible impact right now of the shutdown of Italy and Spain.
Monica Girardi: Okay. Again, for you, Alberto, a provocative question. If prices go down by €10 per megawatt hour, what’s the impact on EBITDA and earnings?
Alberto de Paoli: Well, it’s also for this, if the question is related to the answer to know what the activities are, it’s clear that a €10 impact. So only looking at the production could be a high impact, but this is not the case, because on one side, we have almost all our production hedged for 2020, so every change of prices is not impacting us. And looking forward, as I said, we have to look at our integrated position, integrated with our position on customers, and like in the past, so the two things can balance together and so mitigating also the effect of such a big swing, that is not so a great impact, it is not impacting the sales results in 2020.
Monica Girardi: Okay. We go back to Francesco, that’s for you, any risk that the new Green deal would be delayed or reconsidered, given the need by the European Union and its countries to deploy financial resources for supporting the economy in emergency? Francesco, your line is closed.
Francesco Starace: I don’t think this is the case, when we -- can you hear me?
Monica Girardi: Yeah. Now we can hear you.
Francesco Starace: Yeah. Okay. I don’t really think this is the case when you look at what several spokesmen from the European Commission said. They continue to see this as a priority for the commission. Honestly, I think, the amount of money that was around the deal -- the Green New Deal was and is more aimed at the necessary measures that need to be accompanying the investment on green and -- on green energy, so the sustainable fund, rather than the investments themselves. This new deal is happening because it’s economically viable, not because it’s another round of incentives. So if you look at the fact that perhaps after this crisis is over, there is going to be the need for a kick start in the economy, while expand the Green New Deal is exactly the case that needs to be pushed around. So we are keeping the work on the development of the pipeline. We are pushing for permitting of additional projects. We don’t see at all the need to consider a slowdown the contrary. We think there will be a need for investments to restart after a period of slow growth, and I think, this would be a perfect opportunity for renewables to pick up speed again.
Monica Girardi: Okay. So the next one is again for you, Francesco, and we go back to Italy, which actions were implemented by the Italian government in the decree approved early this week? Do you see any risk of near- or medium-term intervention on tariffs?
Francesco Starace: Look, the system in Italy has always had an intervention on tariffs in the face of external extreme event, when there is an earthquake, when there is a big snow storm, when there is a big plant or some catastrophic event, we always had the regulators saying, those people affected by that earthquake in that area, freeze the bills for X month and then you recover the money over a certain number of additional months so that they get a break and they are not suffering additional pain because of invoicing of energy deals. That has been the case, also here limited to the 11 municipalities of two regions that were the early starting point of the COVID-19 inflection in Italy. So we have a freeze on tariffs for a certain number of weeks, I think, for these people, but limited to that. This has not been obviously extended to the whole of Italy. This decree that came up does not contain any of that and there has been no thinking of it. What we have had, though, is the suspension of earning, so we cannot cut the energy supply for people that are not paying and this is probably reasonable because many people are closed at home, and all those people that do not have digital payment or bank payment enabled, but are those that used to go to the post office or to the bank to pay the bill, need to be protected from the fact that they are, even if willing, unable to pay because they just cannot move as freely as they wish. So in that sense, we think this is reasonable, and by the way, it’s something that we totally support given the situation, but it’s really not having an impact on us.
Monica Girardi: Okay. Then now we move -- again, questions for you, Francesco, we move to Latin American operations. What can be the impact of virus outbreak on your Latin American operations, do you have a contingency plan on your LatAm operations?
Francesco Starace: First of all, let me say that this very much depends on the wisdom of Latin American governments to act quickly and do not wait until -- at least until the very last minute, as it seems to be the case in other parts of the world. So they still have a chance to act early -- earlier than people think and cut this virus, while it’s really small before it becomes something difficult to manage. So the impact can be different according to their reaction time. As we can -- what we have done, we have basically put all our operations in Latin America in the same safe operating mode that we have done in Europe. So the people that can go in smart working has been migrating to smart working this week. Tomorrow is the last day of the migration. So after that everybody would be smart working everywhere in Latin America. Except, of course, blue collars and other people that need to work on power plants and networks. In those -- for them also what we have done in Europe is a reduction of the shifts, a reduction of the people that are on the field and a different way of managing the spaces, so that the number of people and the distance between them is such that there is a very, very limited chance of any contagion and the protective gears add to that. We have to say that this is what we have prepared. An impact at this point will very much depend on the response -- timely response of this government. This virus is the same, I mean, it affects people independently on where they live and what language they speak. Its spreads and the contagion dynamics are identical everywhere. The only difference is whether the social system is quickly responding to the challenge or just dragging its feet, and therefore, having to pay a higher cost later on. So we will see it how it’s growing in the next two weeks, which of these countries will react in the right way and which of those will drag it a little longer. But the tune will be based on that.
Monica Girardi: Okay. Now we go to the CFO now on FX rate. Can you please provide more color on your current expectations on FX versus planned scenario and provide the financial impact associated to FX standalone for 2020?
Alberto de Paoli: Well, it’s very difficult to now to say what could be the expectation for the full year. It’s clear the currencies have been very volatile in this period, but it was largely expected. And I can say that we have already provided the market with sensitivities in the Capital Market Day, as you remember. We said that a contemporary decrease in depreciation of 10% of LatAm currencies will impact roughly to 2% on net income. So if we assume that the final effect will be the level that we have today or we have in this stage, we believe that we can see to be in the range of less than €100 million net income. On the dollar side two impacts important, on one side now the euro is weakening a little bit against the dollar. This situation is going to increase our EBITDA express enrollers. On the other side, it’s going to increase the level of debt, as I said, as you can understand, if we can’t, this year, we closed €45.2 million, not extending the impact of FX, the real value of debt is €44.4 million. So we have a reduction and this is a level set, €44.4 million, not extending the level of dollars we have. So on the dollar side, the weakening of euros are going to increase EBITDA and we are able to say today the debt free because of the hedging we made on currency.
Monica Girardi A - Monica Girardi: Okay. Another question on LatAm, which is partially associated with effect, I guess. Can you provide a sensitivity of announced EBITDA in Latin America to the economic downturn for the CFO?
Alberto de Paoli: Well, also here, so we don’t see any major impacts on the business we have been running. We have the vast majority of the business extrapolated and so we have limited the needs of commercial activities. And on the other side, we have the development of renewables, but it is not so huge like in the last year. Every since then so it’s clear that here we can have some impact on the financial side, mainly in the time of during the shutdown, we will foresee some plans in payments, but right now it’s the only impacted we foresee.
Monica Girardi: Okay. We move to -- back to the CEO. Analyst asking, can you provide an update on digitalization projects ongoing, if you can see any impact on digitalization from the current crisis, positive or negative, I guess?
Francesco Starace: Okay. On the negative, there is minor slowdown in the substitution of second-generation meters in Italy. In order to comply with some of the regulatory -- of some of the measures that the government has put forward that is limiting the activities on the field to strictly necessarily -- activities that are strictly necessary to ensure the continuity of business and nothing more. We decided to temporarily suspend the substitution of meters during this lockdown period. So that might result in delay, or let’s say, less meters being installed during the year to the tune of about 300,000 -- 300,000, 400,000 maximum, which we might see maybe if it’s possible to recover this during the rest of the year if the lockdown is lifted by the end of April, for example. And that’s on the negative because of this physical constraints that we wanted to be sticking to. Obviously, this crisis is terrible. It’s something we really don’t like. But from the point of view of the development of digital, it’s an incredible acceleration. So all of a sudden, we have a fully digitized working environment worldwide to continuously interconnected with platforms and people working on them, which was probably, one dream we had we would be there maybe in 2022 or something like that. All of a sudden, we are there. We are working since the last 10 days in this environment and we are discovering a lot of things. So I think all in all, all our digital activities will have an incredible boost from this exercise. Like I said, it’s an unfortunate case, but this is a positive, which is the development of platforms, new applications. The mindset change that this entails on people is phenomenal, and the fact that we have now a completely virtual environment into the cloud, in which we can multiply the chances of exchange data and of improvement or way of work, we will keep this experience forever. This will change the way we work in a very deep way, much more faster and a lot more wider in a big, big way going forward. So, I think, yeah, there is a negative, which is this delay in the installation of meters, but this is a big positive, which is a major acceleration in all our projects and all our data related tasks, which will be -- it will probably to appreciate by the end of this crisis. So, let’s say, roughly around this summer. At that time, we will draw the conclusions and could be, I think, quite surprising what we have achieved in this.
Monica Girardi: Okay. We move to question for the CFO. What is the likelihood that now as we moderate its CapEx spending, if cash flows are impacted by the Coronavirus suspicion or is there sufficient other cash flow mitigating later or -- and/or headroom?
Francesco Starace: Alberto, okay, make sure that are you on mute.
Alberto de Paoli: Yes. Yeah. We -- yeah. Sorry. So the basic that we have to moderate CapEx spending with the current liquidity position that we have is almost zero. Let me express numbers that impact useful for this. We closed the year with roughly €25 billion of liquidity available. There is €8 billion of cash -- €9 million of cash and €16 billion of lines available. The projection for the end of March that are now almost completed is saying that we will still at $24 million, $25 million, if not higher than this. We have about €5 billion of commercial paper and we don’t know if the market is going to be shutdown or not. Take into consideration that the market notwithstanding the last move from the Central Bank will be completely closed. We are going to repay €5 billion commercial paper and we will end up in having more than €20 billion of lines available. With this €20 billion the maturity rate for 2020 we have out after March is €2 billion and for 2021we have only €3.8 billion of maturity. So to cover debt maturity, we need only €6 billion out of the -- more than €20 billion of liquidity available we have. As you can -- on the other side, we have a very limited gearing ratio with 2.5%. So you understand we have plenty of strength not to have any impact on our CapEx spending, dividend payments, because for the years, we can spend within liquidity we have available right now.
Monica Girardi: Okay. We move to a series of question for the CEO into the global business line. So we will start with power generation and renewable. Is any of Enel’s capacity going to be shut down for the Coronavirus outbreak or there is any implication on the phase-out plan?
Francesco Starace: No. We don’t see any need to shutdown plants because of the outbreak now and also we don’t see any implications on the phase-out plan because of the Coronavirus. We have no evidence of that and no reason to think that this has an effect on that, no, no change.
Monica Girardi: Okay. We go to -- we go into renewable, so if growth in renewables confirm, will the virus breaking impose any change in the geographical distribution of new capacity?
Francesco Starace: The capacity that is going to go online in 2020 and partially in 2021 is already up being worked up. So site -- construction sites are open and people are working there. So there’s no way we can change geographically at this point. That was the question. Maybe it has to do with the further downstream and we don’t see any reason to change geographies because of the virus, not at all. We not -- we are not seeing an impact on construction site so far. We have taken a very clear and extremely cautious measure to differentiate and give workers all the equipment they need in order to work safely in that environment. We see evidence of no real evidence of cases in construction sites at this point. It seems that one of the safest places where you can go at this point is a construction site carefully we believe and one of the most dangerous one was the office. So far the project work is ongoing and we don’t see a change in the renewal growth as we are talking.
Monica Girardi: Okay. Staying your renewables, any sign of disruption on the supplier side, how can you mitigate the risk capacity with suppliers delay on the performance and I think is for the CEO again.
Francesco Starace: Yeah. I think here there was an alarm during the Wuhan, Hubei and China shutdown phase. Some factories were closed and some others just slowed down and many workers did not come back from the Chinese New Year holidays, because they were prevented to fly. So there was a period in which suppliers in China were not able to confirm deliveries, and therefore, started writing letters saying, this thing keeps providing -- preventing workers to come to work. We will not be able to stick with delivery. That has affected -- that was affecting basically mostly the solar part of our development, because it’s more skewed towards a Chinese supplier. What we can say is that the workers have come back. They have been able to restart all the factories and now production is getting back to normal. We see some delays but in the order of 40 days, 45 days. So, all-in-all, that itself has not -- is not an impact that materially changes the story. We might have, for example, 100 megawatts or 200 megawatts and might make it during December or make it during January next year. That’s the only difference. So far that’s it. Now when we go to wind, wind is a bit of a more complex story, because wind is less China, much more Europe and the U.S., and there is no evidence so far of large delays, some slowdown, but nothing critical in Europe. On the U.S. is a question mark. It depends very much on how the U.S. will react to the virus and that we will understand probably in the next couple of weeks. Vendors today have not given us any meaningful alarm on delivery of critical machinery for wind farms.
Monica Girardi: Okay. We move to another question on renewables, which then about the pipeline, will the pipeline be impacted at all?
Francesco Starace: No. We don’t see an impact on pipeline due to the Coronavirus and development work is ongoing and we don’t see that as an issue at this point, no.
Monica Girardi: Okay. We move to networks and there was a question, which, I think, I just have already addressed about smart meters and broader digitalization CapEx. The other -- the next question is on O&M. Analysts are asking, what are…
Alberto de Paoli: Yeah.
Monica Girardi: …the implications of restrain mobility for your O&M activities…
Francesco Starace: Yeah.
Monica Girardi: …and for both generation and networks?
Francesco Starace: Yeah. This is a big question, because, obviously, we have to divide this in two fields. The control rooms and then all the, let’s say, the ambient being spaces in which people cohabit and remotely or locally managed existing plants. These control rooms are vulnerable places, because obviously, a positive case between the workers working in the room automatically triggers quarantine for everyone in the shift and a cleanup of the room. Cleanup the room is easy, but then you need to have another shift to come in, which is clean. So what we have done is check the interoperability of different control rooms on the same hardware. So a plant is managed by its own control room, but it can also be operately remotely managed by another control room in another plant. And so for the network control rooms, as the interchangeable, can I manage the network of a region of Italy from another region rather than the control room in sitting in that region. And the answer is yes. We have done a lot of testing. It all works. By the way, it has already happened once, that we had a positive case in a lot of the suspect in Sardinia and we were able to manage the network from -- did not with this -- we got all the people out. So that part is now expanded all over the Group geographies, so all entries have gone through the same routine, we have a total redundancy on control rooms that enable us to manage this very, very, very safely. On the physical, we have taken two measures. We told about roughly to half of the workers stay at home. You will have -- you will be paid at home on call. So you will not get out of home unless we call you to do something, so that half of the guys went house from the field in the houses. The other half, they work in shifts that have changed their composition and behave in a completely different very customized way. They have protocols of distancing from one to the other. They have special gear to protect themselves. They are always the same guys in the shift. So if one guy gets sick, only that shift goes out, not -- they are not mixed every day. And with these precautions, so far, we have been extremely affective in having basically zero cases, actually, we have two cases over more than 15,000 people. So it’s a fantastic way of working. Of course, this can go on, as well as long as only ordinary maintenance and strictly related to continuity of service is needed. But, of course, it cannot last forever because then there will be additional burden on the equipment that we have to carry out. But this can go on for at least, I would say, six months without any particular problems.
Monica Girardi: Okay. We move into retail. To the CEO, what are the latest on your retail business? Do you expect any further delays in the approval of decrease or that will kick off the process of regulated tariff elimination?
Francesco Starace: Well, to be honest, I think, this is not today the hottest issue on the table of the meetings. So if the question is, if you are going to work like hell in order to issue the decrease now, I would be surprised. I think they have a lot of other things to worry about. So is it urgent, not really. We are looking at one deadline, which is January 1, ‘21, for 3 million small, very, very small businesses, and 1st of January, 2022, for residential customers. I think, if this goes on for a longer time than April, May, they might -- maybe push back the 21 days, 22 days for small and medium business directly to 22 days, that’s maximum thing that can happen, but it’s a minor thing overall.
Monica Girardi: Okay. We move into our question for the CFO. Question dedicated to the retail, analysts are asking what the impact of the current crisis might have on retail business of Enel?
Alberto de Paoli: Well, right now, we know the important signal of a complete change and change in the Latin American business. As said before, we have different parts moving because of the situation, so the B2C demand is increasing, the B2B demand is going down. We are lower acquisition on one side but we are losing less customers. So, all in all, we have less cost to managing the business, so we have more efficiencies with our. So trends that we are looking at, now it’s only 10 days that we are looking at this trend. So they are not consolidated. The signals are saying that all these parts moving together are giving the results, that is they are not changing the overall trend of the business result for the retail business.
Monica Girardi: Okay. So the margin question that was the next has been already addressed by you, Alberto. So I will move to a question for the CEO. What the impact will have the crisis on retail bad debt, actual bad debt and share gains?
Francesco Starace: So, clearly, we think that there will be a slight increase in bad debt is driven by the stocking of the running process and the temporary stop of the disconnection process. I tell you, this is a small increase because we are talking about one month or two months or three months to go on. This will be handled through some managerial actions, which we have identified that have to do with credit verification program, so pre-liquidity credit verification program at some factory. On churn rates, I think, Alberto told you already that there is a slowdown of everything. So the slowdown of churn rate, the slowdown on acquisitions, so everything is kind of getting into some kind of an hibernation situation, which on the very, very short-term, it’s positive for us because it’s basically in cutting costs, preventing at par with good customer base. But this is probably going to last as long as the lockdown last, so as soon as the lockdown is lifted, we will go back to -- lifted we will go back to where we were before.
Monica Girardi: Okay. We go back to the exit strategy. Few analysts are asking, if we have changed our hedging strategy following the recent fall in oil prices and ahead of the expected declining in power demand? I think it’s for you, Francesco.
Francesco Starace: No. We have not. I think this relates to 2020 I think. But I think 2020 -- I think strategy is already there. I mean, it’s locked in. It’s there and it’s -- thank god, it’s fully working and it’s been a very good hedge that we set up in 2019, looking at what happened. In 2021, as I said, Italy is only 20% locked-in hedge and better 50%. So the volume sold forward locked in at highest price than the one that we have. We are now assessing basically the time between now and May would be anyway a good time for hedging. This is a very tough time for hedging the next year, typically and it’s going to be used to analyze the end of the lockdown, when is it going to happen, and therefore, what kind of hedging strategy we are going to have looking at the potential restarting of the factories. Obviously, the factory is shutdown because people are unable to move, but as soon as they are free to go back to work, they will be again starting up. So we see this demand to repeat up again during 2021 and we have to be careful to not make a mistake and thinking that this situation remains constantly there for a longer time than a few months. So to answer in a short time, so far we haven’t changed it because 2020 is already done, ‘21 we are looking at the time by then -- by which people will be back to work and see how quickly their factories will start. At that time, we will evaluate whether the hedge strategy need to be changed or just repeat it again.
Monica Girardi: Okay. Now a question directly towards CO2 prices, do you believe the current MSR will be sufficient to mitigate the impact of the expected economic slowdown of CO2 prices?
Francesco Starace: It’s not a question of belief. It’s a question of fact. So far, yes, it has been like that. I mean, we are talking about the last two weeks, okay? In the last two weeks, that’s been the case. If it’s going to last forever, it’s likely to last because volatility will remain high at least till Q2. So weather is very mild. There is hydro -- quite a strong wind, so thermal generation is clearly stressed, but the lack of industrial demand has been a lot of volatility to the residual supply -- to residual demand. So it has increased the need for system in balancing services, which opened a good space for revenues there. So, I think, so far, it looks like, yes, it might be compensating pretty nicely. Again, it very much depends on factories going back, if factories go back that the load will stabilize again and this would change. But so far, it’s working.
Monica Girardi: Okay. Question for the CFO. How do you see your liquidity available and refinancing needs vis-à-vis the current situation and the potential work being associated with the virus outbreak?
Alberto de Paoli: So what I have seen is that already answered this question because I have really outlined what our liquidity position is. Only I can add that in order also implicate into account that we cannot rollover our commercial paper position that today is €5 billion, also keeping this into consideration, it is not always the case that the market is not thrilled for commercial papers. We can cover our maturity, our debt in 2023. So I think that is certain enough to explain what the good potential is towards liquidity availability.
Monica Girardi: Okay. We stay -- we do have the backlog for the next question, if there is a rating downgrade for Italy, will your trade rating be affected at all?
Alberto de Paoli: Well, I think that in the last few years, we saw a different approach from the rating agencies. In 2019, we reached the couple penetrating from Italy, because they do not see an automatically its breaking. Also move stress the positive outlook that we have reflecting the increasing international diversification and corresponding reduction in the proportion of earnings from Italy. In general, any rating already based, so the industry is set in office, so in case of a downgrade in Italy, there should not be an outer market adjustments of [inaudible].
Monica Girardi: Okay. We move to the CEO. Are you planning to add the AGM as schedule on May 14th? What flexibility you have, will the dividend payment be affected at all?
Francesco Starace: And we have -- the date of AGM is May 14th. This according to also the official calendar that we published time ago. Today the Board of Director has decided May 14th and that’s what we can say. We are quite confident that by May 14th this crisis would be over and that it would be not that of a constraint for having AGM’s -- physical AGM. But because of the rules that have been approved under these stressful conditions, we are now -- we could now also hold the AGM in a virtual manner with this crisis. There is also flexibility to move it in June, which I don’t think is going to be crucial, but we could do that too. Our dividend second tranche is paid in July, so even if we hold an assembly in June, we would still be paying as regularly the dividend in July, as always, and we don’t see any reason for changing that.
Monica Girardi: Okay. We move now to the golden question, the question of questions, for you, Francesco. 2020 guidance is confirmed, which are the main threats with respective targets, and lately, few analysts are asking to add our view on the fund targets so beyond 2020?
Francesco Starace: Look, I think, what we try to convey here is, that facing what was going on, we took very, very early action and extremely effective actions looking at how at the end things have folded. So we are now very sound in managing a in the last few months, not just a few weeks. I think this is a good start to say, can the 2020 business continuity and also business performance, we -- in safe hands, the answer is yes, even if people not in the office, even if people out in the field are working in a completely different fashion. We have evidence that the business is running as we intended it to run. So, yeah, from that standpoint, we don’t see a problem. I think this is possible because we digitized so early and we digitize so deeply and thanks to that, I think we can safely say that can be managed, with 2020 we don’t see an issue. Now you all know that we have a very robust business model. This is a business model that can take a lot of heat. It can take heat at the regulatory level. It can take heat, as well as weather different conditions. It now takes heat, as I said -- I mentioned, that we never really thought of, which is a viral infection. I mean, challenge anyone that has these war games to think of something like COVID-19 and it’s --well, it’s easy to be managed in a pretty strong way. So we have a very visible earning horizon. It’s more than 80% of our EBITDA is coming from regulated activities, all contracted activities, which do not really -- are not really that affected with COVID-19. So we don’t see any reason to say, in 2020 we will have an issue or anything apart from what normally would have been the case, if it rains a little more or a little less, if a panel is coming a little earlier with some delays, stuff like that. But honestly, this 2019 thing is something we took and I think we can rest assure that we can pass through this cycle with very, very little damage, if any. On -- and of course, the guarantee that we put on the dividend is there and so people don’t believe that we can do it. They can still believe we can maintain. On the ‘22 time horizon, I think, the crisis on a viral basis will be over by the end of the year as soon as a vaccine is produced and lot people are doing that and there a big race to see who is the first. But I think, at that point, we put aside this COVID-19 thing and what we will have to focus on is whether the world would be in a recession or a bit recession or just a big recovery. Ending that, I think, we might have a 2020 November Capital Markets Day with an acceleration to our targets as we expected because we think this will -- this might be a restart on a big cycle of investment in order to jump-start economy that have been suffering for a while or a business as usual environment. So we see more upside than downside the way we used to see. That we do because we have a lot of liquidity and a lot of strength in the balance sheet, so we can receive through this potential ups and downs in the next months without any concern and the answer is, yes.
Monica Girardi: Okay.
Alberto de Paoli: Okay. I would like to add…
Monica Girardi: You are right Alberto.
Alberto de Paoli: Yeah. Only give to -- give some comments on this question. I would add only a couple points. It is clear that we can manage our business. We can manage the macroeconomic scenario. So I said before, the final outcome of effect impact, so now we can predict what would be the final scenario by the end of the year. In the case of the trial, we can say that the impact will be limited because on our final results depends. So the 10% decrease basis our assumptions of the overall currency will lead to a decrease the ability to send and so the level we see today is driving 100% in the [inaudible] that is on the overall target we had for the year and because we have also the minimum dividend set is the visible also. On the other side, I think, that -- so in this period of shutdown, we will see some delays in payments that we will have some decrease and delays in the cash flows. That we think that with a limit shutdown of two months, three months will be fully recovered towards the years. But on this side, as I said before, this is the ample level we believe we have we can say a better decrease and the better forward outlook for our financial expectations.
Monica Girardi: Very clear. Next one for, I am staying with you, Alberto. Assuming a prolonged benign interest rate environment to support the currencies, but also the possible increase in Italian Government bond yield, what can we expect on the cost of debt?
Alberto de Paoli: Well, there is no impact on this at all, because I said, so for this year, we have no maturities, and also for the next years, maturities are very, very limited. I said for we have only license as we renew -- fixed renew for the year refinanced in the next years. So I think that nothing will impact the road towards the decrease of 300 basis points over the current period of our cost of debt.
Monica Girardi: Okay. Again, with you, Alberto, I think, that has been partially answered, but probably the more comprehensive type of question. If there is a liquidity squeeze scenario and you are actually you have been paying dividends or reduced CapEx, what would you choose?
Alberto de Paoli: Well, we have now today in front of us that decision to be taken and I think we will not have for a prolonged time possible of shutdown, this is not now the case we see front of us. So I do think that for the financial strength we have, we can carry on everything on our plan. It’s clear that we expect the way we develop our investments, in a way in which we can modulate it because we are not fully committed for years, so our commitment is in the range of 1.5 years, two years and this allow us to move our CapEx something that we can do also to manage some, so the virus is spreading in different countries, but it is the very last chance. But if it stays that with the financial strength we have, we don’t have the in front of us.
Monica Girardi: Okay. CEO to you, in the current guidance scenario, what effect to happen to your dividend policy?
Francesco Starace: We have a dividend policy that we have presented this November. We confirm dividend policy. We also confirm the floors protection that we gave to the shareholders. We said last time in November that this is a reasonable policy, facing a very robust and resilient company in a very sustainable business plan, and I think, if the present scenario has not challenged these assumptions, so we confirm this quality.
Monica Girardi: Okay. Then again, to your Francesco, would you consider to activate a share buyback on a last share and how is the minority buyout progressing in South America?
Francesco Starace: Okay. We have the optionality to share buyback. Yes, the Board of Director asked a new -- the next AGM to renew this authorization. So I confirm that we will propose to the new AGM another time, the €2 billion share buyback option for about 500 million ordinary shares of NL, which is about 4.92% of the share capital. Yes, we will roll it forward another time. So we will keep it as an option going forward. Yes, we are continuing the purchasing of shares to swap in traction on Americas and Chile, okay? This is one minor thing that the common crisis is helping us with because we create goodness in pricing and the shares to make it better for us first of all. I hate to say this, but its fact. That is going on.
Monica Girardi: Okay. Great. I think we have just a couple of more questions on the full year ‘19.
Francesco Starace: Yeah.
Monica Girardi: One is on the percentage of volumes sold to business clients versus residential at the end of ‘19? Alberto?
Francesco Starace: I think we have -- okay, Alberto, you do that.
Alberto de Paoli: Sorry. Can you -- I hardly heard you. Can you repeat it?
Monica Girardi: Sure. The exposure -- the percentage of exposure in volumes to retail versus, sorry, in retail to business versus residential?
Alberto de Paoli: Okay. So where in Italy we staying...
Monica Girardi: In global, I guess, it is not specific, worldwide, yeah.
Alberto de Paoli: Okay. Well, I think, in Italy we are talking about so 60% and 70% on B2B. Globally speaking, so, on -- we have -- if we put also the PPAs and in LatAm -- and we carve out the regulated business in Latin America that is under a different regulation. I’d say in Latin America, we have roughly 100% of our free market selling in B2B.
Monica Girardi: Okay. Another question, which I would project into 2020 numbers and I think it’s actually the last one and it’s about the capacity story in 2019? You said it has been to towards the end of the year, what’s the impact that you expect on 2020 EBITDA?
Alberto de Paoli: On, say, so I have already said in the presentation that 4G last quarter installation that were 2.4 gigawatts of capacity sold. We see an increase for in 2020 profit at EBITDA level of roughly €250 million.
Monica Girardi: Great. I think we have answered all of the questions. As always, the IR department will be available for any questions regarding the call. So thank you so much for being part of this call and I hope to see you soon. Thank you.
Alberto de Paoli: Thank you.
Francesco Starace: Thank you. Bye-bye.
Alberto de Paoli: Bye-bye.
Operator: Ladies and gentlemen, the conference now over. You may disconnect your telephone. Thank you.